Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Calibre Mining Q3 2020 Earnings Conference Call. [Operator Instructions] Please be advised that today's call is being recorded.  I would now like to hand the conference over to your speaker today, Mr. Ryan King. Thank you. Please go ahead, sir.
Ryan King: Thank you, Operator. Good morning, everyone, and thanks for taking the time to join the call this morning. Before we get started, I'd like to direct everyone to our forward-looking statements on Slide 2. Our remarks and answers to your questions many contain forward-looking information about the company's future performance. Although management believes that forward-looking statements are based on reasonable and assumptions, actual results may turn out to be different from these forward-looking statements. For a complete discussion of the risks, uncertainties and factors which may lead to actual operating and financial results being different from the estimates contained in our forward-looking statements please refer to our 2019 annual MD&A and AIF available on our website as well as on SEDAR. And finally, all figures are in U.S. dollars unless otherwise stated. Present today with me on the call are Russell Ball, Darren Hall, John Seaberg, Mark Peterson and Angela Johnson. We will be providing comments on our third quarter, our near mine and infill drill exploration programs and our updated guidance for 2020. After which we will be happy to take questions.  The slide deck we will be referencing is available on our website at calibremining.com under the Events section. You can also click on the webcast to join the live presentation. With that, I'll turn the call over to Russell.
Russell Ball: Thanks, Ryan. Good morning, everyone. And thanks for joining us today on what is a very busy week for calls like this. Some of you may have seen hurricane Eta made landfall earlier this week in northeast Nicaragua, leaving behind a trail of devastation and destruction in her wake. Fortunately, out people and assets was spared from her wrath, notwithstanding Calibre and Rio Tinto, our exploration partners on the Atlantic coast have contributed resource and funds to government led efforts to rescue those flood risk and to help rebuild homes and communities. Before getting into the details of our third quarter, I wanted to take a few minutes to discuss how we think about the business and where our priorities lie in regards to the allocation of capital giving a record cash flow we are generating. In respect to the gold price, in short, we are bullish and intend to deploy capital accordingly on the organic opportunities in front of us. Our focus with the last of the acquisition debt repaid last month and the balance sheet now debt free is on reinvesting in the business. We have, I believe, a unique value creation opportunity in front of us given a combination of the following. We have organic growth and are generating significant free cash flow to reinvest in the business. We have numerous exploration targets in the near mine and GENEX environments, including our partnership with Rio Tinto. We own and have the permits and people in place to operate the Libertad mill with more than 1 million tons per annum of surplus processing capacity. The country has well established infrastructure to allow us to implement our hub and spoke operating philosophy on a very cost effective basis. We have a host country government that is supportive of the mining industry, foreign direct investment, and most importantly, job creation. We have a well established permitting process that with reasonable assumptions allows us to go from discovery to positive free cash flow in less than two years with very little incremental capital, giving us surplus mill capacity at Libertad. And we have a management team that is aligned with and focused on the interest of long term shareholders. I'm extremely proud of what this team has accomplished over the past year since we took control of the assets. And I very much look forward to working with the team on the next 12 and 24 months. We have a lot of stuff in front of us. In that regard, we are currently working on finalizing our 2021 budget and expect Board approval in early December. At that time, we will be able to provide our 2021 guidance to the street. Turning specifically to the third quarter, after the COVID related suspension of operations for most of the second quarter; we had a successful restart in late June delivered a strong Q3 with production exceeding budget. We produced 45,341 ounces, generated operating cash flow of $46 million, and net income of $33 million or $0.10 cents a share, all record numbers for Calibre. For the first three quarters, we produce 93,435 ounces, and as a result of updated our 2020 guidance to reflect higher production and lower costs, a nice combination for the bottom line. The fourth quarter marks a significant shift in operations for us with the depletion of the spent ore stockpiles around year end. And the completion of mining at the satellite Jabali Antenna open pit in the fourth quarter. As we transition into 2021, we will see production starting and then ramping up from Pavon Norte in Q1. And if I step back and look at 2021 as a whole, what we'll see is higher grade and lower throughput at the Libertad mill, again, a nice combination. During the quarter, we acquired the remaining 70% of the high grade Eastern Borosi project, which hosts an inferred resource of 700,500 ounces of gold, and more than 11 million ounces of silver. With a surplus processing capacity of Libertad complex, this now represents one of a number of opportunities for us to grow production organically through our hub and spoke approach. More from Darren shortly. On the exploration front, we reorganized the function at the end of the second quarter to align the near mine and infill drilling programs within the operations group reporting to Darren, our CEO. The generative exploration function, led by Mark Peterson is now reporting directly to me as we focus and commit resources to reinvesting in the early stage of the business and the business pipeline. This is a part of the business that has seen very little capital over the past five years. And I'm excited about the way Mark is leading and the opportunities in front of that team. We will be providing a GENEX update in the form of a news release before the end of November. And we have plenty to update you on. You will hear more about the near mine and infill drilling program from Angela Johnson, who is leading that program later on today's call.  Turning to slide 4, you will see a summary of our third quarter results with record revenue and earnings per share and operating cash flow driven by the strong production, lower operating costs, and record operating margins. Total cash costs and all in sustaining costs were $786 and $963 per ounce respectively. With Limon producing all-in sustaining costs of $934 an ounce and Libertad an all-in sustaining costs of $902 an ounce.  On that note, I will turn it over to Darren for his more detailed operational update.
Darren Hall: Thanks Russell. Turning to slide 5. Firstly, I'd like to take a moment to recognize and thank all of our employees and business partners for their continued focus and efforts which resulted in another excellent quarter, once again demonstrating our ability to deliver on our commitments. As Russell provided the consolidated third quarter physicals, I will focus on a few of the team's achievements since our second quarter call. Leveraging our rigorous COVID health and safety protocols. We successfully recommenced activities and returned operations to normal production levels during July. For the quarter, we delivered 45,341 ounces at an all-in sustaining cost of $963 per ounce, which is the highest production quarter since Q3 of 2016. I'm particularly proud of the work the team has done engaging with and supporting our host communities. An example of which is our community COVID awareness programs. Monthly we are airing more than 1,000 television and 2,500 radio infomercials to assist in maintaining awareness which coupled with entry screen to our operations has contributed to a marked decrease in confirmed and suspected COVID cases. Since recommencing drilling our near mine exploration team has rolled over 10,000 meters per month over the last four months. With completion of the infill programs, our focus has now shifted to resource expansion drilling. The infill drilling results received today support our earlier comments that we remain confident in our ability to upgrade a significant portion of the inferred mineral resources to indicated, and therein convert to mineral reserves where we provide our resource and reserve updates during the first quarter of 2021. Angela will discuss the drilling results a little later in the presentation. Integral to unlocking value with our hub and spoke strategy is the ability to transport all to Libertad and I'm pleased to update that during the third quarter, we averaged 870 tons per day hauled from Limon, a 280% increase over the first quarter. During the quarter, we provided a multi year outlook for Nicaraguan assets. Based on current open pit, mineral reserves and expected conversion of the mineral resources. The 10 year outlook for the Limon complex is anticipated to deliver between 50,000 to 70,000 ounces per gold at an all-in sustaining cost of between $900 and $1,100 per ounce. Based on the Libertad complex preliminary economic assessment issued in August, it is expected to generate an average of 120,000 ounces per year at all-in sustaining costs of $906 per ounce over the next three years, while utilizing only 45% of the install processing capacity. It's important to note that of the mineral resources reviewed for the PEA, only 60% of the indicated mineral resources and 40% of the inferred mineral resources were included an overall inclusion of less than 50%. I see this as a strong foundation from which to build as our understanding of the assets continues to improve, coupled with updated deposit models and technical reports incorporating drilling since 2018, which will be completed in the first quarter of 2021. Demonstrating the importance of maintaining effective external, stakeholder relations we have during the quarter completed construction of the four kilometer Pavon Norte access road, received all required permits for the Pavon Norte open pit and commenced mine development. The ore transport contractor Libertad has been executed, and we anticipate delivering offering from Pavon Norte to Libertad during the first quarter of 2021. It's worth noting that there has been no active exploration of Pavon since 2014. And our exploration team sees significant upside potential. We currently have three drills of Pavon focus on infill, geotechnical and combination drilling in support of our ongoing PFS and mine development. Once that drilling is complete, the focus will turn to resource expansion drilling during the latter part of the fourth quarter. Turning to slide 6, an excellent quarter at Limon, with a team delivering record production of 23,079 ounces at an all-in sustaining cost of $934 per ounce. The ordering and development works are progressing at Panteon. As we continue to see strong growth potential from recent drilling with the ore body opened down plunge into the southeast.  Turning to slide 7, another pleasing quarter at Libertad with the team delivering 23,262 ounces and an all-in sustaining cost of $903 an ounce. We recommend operations that heavily underground during the quarter, for which I would like to acknowledge the efforts and supportive engagement of the Ministry of Energy of Mines and the local community of [Indiscernible] Jabali. During the quarter, all deliveries average 870 tons per day from Limon, a 290% increase over the first quarter. Importantly, I'd like to note that the team averaged 1,040 tons per day in the last two months that being September and October. As Russell mentioned earlier, we acquired the remaining 70% of the high grade eastern Borosi project during the quarter. During September, Libertad received their first ASM all deliveries from these concessions. I believe that a key to unlocking value from eastern Borosi project we'll be looking at the assets from a different perspective, a fresh set of eyes if you will, not only for the exploration growth potential which Angela will talk to you shortly, but also is the existing resources as an operator who has installed and available new capacity within tracking distance, a vastly different value proposition compared to a junior explorer. We've commenced scoping level work, but let's consider dropping out one of the resources at ABP, it's a near surface oxide deposit with a published inferred resources of 612,000 tons, grading 12.7 grams per ton. Assuming a relatively conservative, eight grams per tonne mine that is a 40% reduction over the resource grade. Each 250 tons per day process at Libertad would generate more than 21,000 incremental lowest cost ounces annually, which clearly illustrates the untapped value from the available new capacity at Libertad.  The above example illustrates the value which we realize as a hub and spoke strategy evolves even before considering additional exploration success, which we anticipate from this prolific and enduring epithermal prints, which are a good, segue into our expression update, for which I'd like to introduce Angela Johnson, who is a senior exploration manager for our near mine programs.
Angela Johnson: Thanks, Darren. Turning to slide 8. The near mine drilling programs have been focused on near mine discoveries extending currently defined resources as well as infill drilling to increase confidence and ensure stronger predictability in our models to guide operations as Darren mentioned earlier. I will speak more on the program's a bit later, but first; I wanted to highlight some of the initiatives we have completed this year in regards to data and core management. We have successfully migrated to our inherited datasets into a unified database, which links into our newly implemented digital logging platform. This allows for more efficient streamlined core processing and tracking as well as for improved QAQC and managing of data flow. We have also purchased for automated core saws, which will not only expedite core cutting, but more importantly improve safety for our team. Turning to slide 9; over 18,000 meters of infill and expansion drilling has been completed at Limon during 2020, of which approximately 60% is disclosed publicly to date. Infill drilling was focused on areas in order to upgrade a large portion of our 745,000 ounces of inferred material to indicate it, and from there to reserve. We saw infill drilling at Limon Norte open pit intersect 14.8 grams per ton gold over 3.3 meters, and 9.6 grams per ton gold over 4.4 meters as vein maintain good continuity and thickness. While Panteon has returned its best intercept to date, a 150 grams per ton over five meters, further defining a new second high grade or shoot, both of which remain open at depth and along strike towards the south which has limited drilling. Turning to slide 10' at Libertad we've completed over 36,000 meters of infill and expansion drilling during 2020, of which approximately 55% is disclosed to date. The infill program target our largest inferred resource Jabali west underground, which contains 315,000 ounces of 7.87 grams per ton material. Drilling results during the quarter return grades in line with our expectations over minable with an outlined area which remains open below the currently defined resources for expansion down plunge and along strike to the west.  Turning to slide 11; for the balance of 2020 resource expansion drilling at Limon will continue to focus on the northern part of the main Limon vein system. While we also aim to grow the high grade shoots at Panteon down plunge towards the southeast. Additional high priority targets include Veta Nueva and it's on strike extension target Atravesada to the northeast, where previous results have returned 18.4 grams per ton gold over 3.6 meters and 31 grams per ton gold over 2.6 meters. At La Libertad, heavily underground resource expansion drilling will continue to be a top priority for the remainder of 2020. We will also continue resource expansion drilling at Rosario and Socorro, both of which are open on strike and at depth whichever turns several two to six grams per ton hits over three to seven meters. In addition, we are also currently following up on high grade intercepts at an Escandalo and El Carmen, which are analogous parallel beam structures to Jabali and lie approximately 1.5 kilometers to the northwest of the main Jabali vein.  Finally we expect to release approximately 19,000 meters of drill results next week on our progress to date.  And with that, I'll let Russell take you through closing comments.
Russell Ball: Thanks, Angela. Before taking questions, I just wanted to conclude by noting a couple of key points. We continue to responsibly deliver on our commitments to all of our stakeholders. As you heard the infill and near mine drilling programs will increase our confidence in the underlying models and mine plans for future production. In addition, I expect a significant upgrade in indicated resources at year end as inferred material gets upgraded as a result of this year's infill drilling program, which Angela touched on. The recent Eastern Borosi acquisition provides another opportunity for organic growth. And work has already started on two fronts. Under Mark Peterson's group to look at the exploration upside around what we just acquired and through both Peterson and in Darren's group, to study what it will take to turn one or more of the deposits into the next spoke for our Libertad hub. And finally, we're focused on reinvesting in the business through drill bit with the aim of delivering outstanding financial returns and we'll be providing more details on our progress in both the near mine and infill program. And then the nascent GENEX program as I mentioned earlier, later this month.  Operator, with that we are happy to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Ovais Habib of Scotiabank.
OvaisHabib: Hi, Russ and Calibre team. Congrats, and great quarter. And thanks for taking my questions. So just, Russ, just starting off with the revised guidance, which would essentially increase production and reduce costs for the full year. To achieve the high end of the revised guidance range of 130,000 ounces, year-to-date production of 93,400 ounces implies Q4 production beyond 37,000 ounces, which is 18% lower than Q3 and 11% lower than Q1 production. Now are you just being conservative with the revised guidance or are you expecting throughput or grade movement in Q4?
RussellBall: Yes, so I'll take a stab. And then Darren can jump in, we will see slightly lower grade. We continue to see positive reconciliations at Limon. But I think the bigger issue is the reduction or mined out Jabali Antenna open pits, we won't see any feed in. And as we got into the bottom of that pit resource, a very good grades, not only on the gold side, but on the silver side, which helped as well. So the other factor, just to bear in mind is the Christmas shutdown will effectively be down on the processing in from around the 15th of December. So there are a number of factors there that as we looked at the quarter, this cessation of mining at Jabali Antenna, will be slightly lower.  It depends on the grade, if we continue to see positive grade reconciliations will certainly be at the high end and maybe a little over but at this stage, it's too early for us to call. We didn't know that the 125 number that we had out there; certainly we were going to exceed that. So we wanted to provide our best guess. And we'll see how the quarter plays out. Darren, anything you'd add?
DarrenHall: No, you're covered all there, Russ. Nothing material to add.
OvaisHabib: Okay. Perfect. And just -- so in terms of how things are moving along with how things are moving along with any impacts from COVID. So are you seeing or getting impacts by COVID going to Q4 and how are you dealing with this?
RussellBall: I mean, we have a new normal as Darren alluded to as far as how we operate the physical separation, the provision of obviously, the facilities to provide sanitation and all of that good stuff, the education piece continues. But it's on a day to day basis we're managing through it. One of the challenges just like in your business, Ovais, today is the senior team is scattered around the world. And we normally spend a good -- traditionally, it's been a good period of time in country. And we're not able to do that until flights get reestablished. So that's probably the biggest interruption certainly for the people on the ground.  They're dealing with the new normal that I think everyone's living in. So I'd say that, yes, we're in the new normal, and we don't see any significant impact borders are open, we're still able to get consumables in there's no issues getting dore out. So from that aspect, it's business as near normal, I think is as it can be.
OvaisHabib: Perfect, Russ. And that's it for me. And just great, thanks, for taking my questions and great quarter.
RussellBall: Yes, we'd actually hope to be able to talk to some of the work Angela's been doing this week. But what we've seen is a call it a two to three week turnaround delay from the labs, as they readjust to life under the new normal under COVID. And provide the physical distances that they need. It's just been difficult to get the turnaround. So we try to get it in, but we just couldn't get it done. So you'll hear in a week or so as we collate all of that data and get it out and yes, be happy to check following then.
Operator: Your next question comes from the line of Justin Chan.
JustinChan: Hi guys. It's Justin Chan from Sprott, newcomer to these quarterlies. But just my first one is on costs. And I'm just looking at your outlook for and specifically you're all-in sustaining Libertad next year just over 1.000. Are you tracking ahead? And I realize there are some operational changes coming. But as you stand right now and understanding that your budget isn't finalized yet, can you give us any breadcrumbs on are you tracking ahead? Or -- of your guidance or your outlook on costs as you stand now?
RussellBall: Yes, as you said, it's a little early, but we're going through that review process as we speak. I say, as I think about that, all-in sustaining costs, I think at the cash cost level, we're probably seeing some positives. But as we reinvest in the business, if you think about this infill drilling, as an example of some of the exploration, that we're ramping up, we see additional spend on what I call the future which gets captured in that sustaining capital. So as we sit today, those two are sort of balancing each other out. And really, it's going to be a function of how much we choose to reinvest back into the business. And as I alluded to earlier, I think that the opportunities in front of us for the value creation are significant. And, we are reinvesting in the business. So, yes, that's a discussion we'll be having with the board the first week of December, and then we'll be able to communicate where we expect to be. I will say, though, that going forward, you should expect to see Libertad and Limon really shown us one number, because that's how we're running the business. The two facilities, the trucking of ore, the sharing of people, are really what are driving this value creation. And the more and more we look at the business, the less we have a Limon and Libertad. And the more we have two processing facilities that are processing ores for a number of different pits and underground. So I think that's the shift will move, as you'll see one number will still provide thee breakout separately. But really, we don't think about the businesses as Limon and Libertad anymore. It's how do we drive the most value by processing ore at either one of the two facilities.
JustinChan: Understood. And perhaps I'll ask a variant of the similar question but incorporating your answer. I presume you will have ability or discretion to increase the scope of ores or choose, for example, how much development in stripping to budget for next year. But do you feel that you're tracking ahead in terms of what money gets you in terms of your actual unit costs, your deliverables, versus the PEA you put out? Or are things tracking more in line, would you say?
RussellBall: Yes, no, I'd say we're probably on the favorable side, using exploration as example. If you look at the revised guidance I think we're a million or two lower, we're still putting the same meters in the ground, but that's realizing the efficiencies and some of the work we're doing on the supply chain to drive down unit costs. So I'd say overall, on the unit cost basis, if that's the question, we've seen cost trend down. We aren't a huge consumer of diesel. So we don't have that exposure that a lot of these big open pits have. So, yes, now I think on a unit basis through a lot of good work that the supply chain team under Juan Becerra is doing, we're actually seeing positive. So to your earlier question, I think it's more about how many units we intend to use as opposed thereof.
Operator: Your next question comes from the line of Geordie Mark.
GeordieMark: Yes. Good day, all. Congrats on the good quarter. You had a great run through Q3 leading out COVID. A number of questions have already been asked. Maybe I can focus on haulage and Limon. You touched a little bit about grade profile running from maybe Q3 to Q4. Are you looking at mine sequencing rather than grade reconciliation, potentially still giving you some good -- well, north reserve -- grades above or -- let's call it mine grades above reserve average for Q4 and maybe next year? And given what [Indiscernible] gave in terms of more recent haulage rates, are we expecting that to go forward as a blend out of Limon into Libertad? And will that offset lower grade material or just augment material -- so greater throughputs at the plant? So what's the --
RussellBall: Okay, well, I think two questions in there. And I'll take them over to Darren, one around the haulage rates, and then the great profile at the Limon Centrale. So Darren?
DarrenHall: Yes. Hi, Geordie. And from a movement perspective, as I kind of mentioned, we had a good progress in the third quarter, September and October, we've averaged in both months, over 1,000 tons a day. So we see that trend continuing. So in terms of establishing reliable transport between the properties I don't see any issues in that space in terms of unit rates. We're not seeing any surprises there. From cost perspective, if you look at it at today, again, it's a $50 and $50 barrel oil; you're just at $25 a ton from Limon and Libertad. And probably just at $30 a ton from Pavon. Next year would be a no sort of ranges. In the grades, there's two components to that we are seeing some variability on a deposit model perspective, there are some swings and roundabouts. But, generically speaking, if we talk about the fresh rock coming out of Limon, we are seeing a positive in that space; we're also seeing the benefit of a greater volume. So because we're mining more tons, and we're processing at Limon, because the Limon guys are picking the best grade to be able to put through the mill and the balance of the grade has been put through to Libertad. So we are agnostic as to whether the material gets traded and ends up with the same recoveries and throughputs. So models are performing well. Yes, a modest amount is positive there from a run a mine perspective. I think that's answered your questions.
GeordieMark: Yes, that's good on that front. Just I guess, ultimately, there's a reserve average grade and I guess there's performance. Just in terms of mine sequencing some components are going to be reserve average but reconciliation's still going to be normally, it's not going to be above because it's the nature of the morphology of the deposit. So I was just wondering whether you're expecting grades to be higher the next couple of quarters because of that sequencing or --continue to reserve, model reserve grade.
DarrenHall: Well, it's both, Geordie. And I guess is that -- I'll lead you to look at the indicated versus inferred grades in the deposit as well. So if we look at Limon Centrale, I don't have the numbers in front of me, so might be a little bit out. But from memory, I think the indicated grade at Limon Centrale is like 4.24, the inferred grade is about 5.8. So if you looked at a blended average of that, which are the regulators don't like to combine, but it's around 4.8 grams per ton looking at the kind of the resource average grade. Now, of course, is that if we look at the reserve average grade, it's about 4.25, which would be consistent with indicated because, again, the proven improbable needs to be on include indicated. So as we convert that inferred to indicated this year, we'll see it step up in average reserve grade as well. Right, so there's a little bit of that balancing going on. If you looked at the reconciliation with respect to resource it kind of agnostic to categorization from indicated versus inferred. We are seeing a little bit of a bonus there in terms of the run a mine portion or the fresh rock.
Operator: Your next question comes from the line of Justin Stevens of PI Financial.
JustinStevens: Morning everyone. Congratulations on a great quarter. Bunch of my questions -- have already been checked here. But just a few more. What are the next steps that you'd need to go through before you could mine at the Eastern Borosi? Like is there a study even before you can submit an application?
RussellBall: Yes, so on the Eastern Borosi, I mean, that was a legacy Calibre asset. We had managed that program on the ground, the individual that managed it for the last 10 years; Mark Cianci is intimately involved with what we're doing on the ground there. So it's not like we're picking it up cold. So the way Mark Peterson's group is doing is really looking at what might be, remember that the 700,000 ounces in 11 million ounces, sorry, 700,000 ounces of gold and 11 million ounces of silver was about 55,000 meters of drilling over about seven years. So what we see and what we have, at least in the draw budget is somewhere around 20,000 to 30,000 meters to go off the expansion of that source. They remain significant untested targets on strike at depth and part of the budget exercises deciding how much capital we're going to allocate to that. The second efforts commenced right as we acquired the asset, we consolidate the data and we're doing what I call a cold eyes review. So independent consultants, various specialties, looking at the data we have, and what gaps there might be. And really, that's the study work that Bill Patterson, under Darren's, in Darren's group at least is leading to determine what it will take to turn those exploration ounces on the books, so to speak, into production ounces. And we've just been through a very similar exercise at Pavon. If you look where we were at Pavon a year ago, I'd actually say we were further ahead of our understanding at the Eastern Borosi. And remember, historically, the Eastern Borosi was always viewed as standalone and had to carry 100 to 150 million in capital for a processing facility and sales, et cetera. The beauty of this transaction was that we could now look at that Eastern Borosi just like we did it Pavon from a study perspective and look at it as a satellite pits. And that to Darren's point earlier will drive significant value so and the cold eyes review is scheduled to be completed and the report finalized the end of this month, the study work has been going on in parallel. And we'll ramp that up. And so you should look for updates next quarter as to what we need to do to progress and the timing around that progression to turn it into the next satellite. But I look at the work we did at Pavon Norte, it's very analogous to the work we're going to do there even as Darren mentioned earlier, I mean, if you look at Pavon, under B2Gold, it was a small underground resource; we turn it into an open pit a lot bigger. Through that 403101, we're going to look at some of the Eastern Borosi on a very similar vein, just as Darren mentioned. And I think you'll see that work play out over the next year. So if I looked at it, it's sort of study in 2021, fill the gaps, get the required permits 2022 develop and production 2023. But it's very early, but I'm excited about that opportunity. This hub and spoke really unlocks that whole Atlantic piece. And then we have now a significant center of gravity out there with Rio Tinto as we look at on the ground exploration, in 2021. A lot of line kilometers planned to be flown to increase the geophysical data sets. So certainly that the Atlantic coast there, the Borosi district is going to pick up in the center gravity will sort of move that way as we look at developing some of these hydrate resources we just acquired.
JustinStevens: No, that's great. I'm assuming that study you're mentioning there was just an internal sort of scoping study for -- your take.
RussellBall: It's our and then obviously, we'll progress that into a pre-feas and fee similar to what we're doing at Pavon. Where we'll be putting out a pre-feas here early next year, I think sometime in the first quarter, if I remember the schedule.
JustinStevens: Yes. That makes sense. And just has ever been met work done on some of that Eastern Borosi material? Or is that soon to be part of the plan?
RussellBall: No, that was meant work done. There needs to be more admittedly. But there was work done by ourselves and IAM Gold. There was -- there's been a lot of historic mining. It's a very historic and prolific district, Noranda, Falconbridge were in there. The metallurgic does get more complex, you start to see the skarns, the porphyry; you see a lot more silver, as you can see in some of those resource tables. So yes, that's an area certainly we're going to be doing more of it. I'd say the other one is sort of geotech drilling around in a way we said pit walls and set strip ratios, obviously. So those are the two areas. We know the haulage costs, we know the operating costs. We've got the back end, so to speak down at Libertad, so it really understands what the development is there'll be some land acquisition, obviously, in supplementing, so we're working on that schedule and look forward to updating you in 2021 as the year progresses as to how things are going.
JustinStevens: Sounds good. Last one from me would just be what are you guys looking for timing on your reserve and resource update? I'm assuming sort of end of year and then probably maybe around February?
RussellBall: Yes. So it's the data cutoff is effectively paused. It's the end of October. And then we'll be cranking the models internally. And so the end of February reserve resources, and then updated technical reports. I think it's in the March timeframe. Yes, sorry, the updated technical reports will be filing two, one will be for Libertad, and one will be Limon. And that will effectively replace and update what we provided from a multi year outlook back in August; I think it was, if memory serves. Remember, that was largely based on the B2Gold data that we inherited, will basically now update that for everything data wise, at least through the end of October.  And again, you'll see that and reserve resources call at end of February and then technical reports end of March. And at that stage, I think the technical reports will refract our best guess short circuit today from a data and knowledge perspective.
JustinStevens: Perfect. So that will include all the drilling that's been done on like the Panteon resource and everything, and the drilling on Limon Centrale and Norte as well then?
RussellBall: Correct. Basically all the drilling through the end of last month.
Operator: Your next question comes from the line of Steven Green of TD Securities.
StevenGreen: Yes. Good morning, everyone. Just quickly -- most of my questions have been asked and answered. Just the one on Limon Centrale and the Limon mill. Can we assume now that 100 percent of that ore feed going through that mill is now from Limon Centrale? And in terms of costs, are those unit costs we're seeing, is that something can we can expect now to be fairly consistent going forward?
RussellBall: I'll put that one to Darren in Perth. Go ahead, Darren.
DarrenHall: Yes. Hi, Stephen. I guess this is sort of the two questions. I missed the first part. Sorry, I had a bad connection. 
StevenGreen: Yes. Was all the mill throughput at Limon from Limon Centrale to the quarter?
DarrenHall: No, it wasn't, it was a blend, some of the material that came from [Indiscernible] Veta Nueva, but the majority of the material had come from the Limon Centrale. Looking forward, it will be a combination of as well, particularly with the advent of Panteon. We could expect that Panteon would supplement the feed next year, but the majority of the feed volumetrically would come from the Limon Centrale. 
RussellBall: Darren, then the second part of the question, operating costs, from Q3 for the mill processing facility, and they could have a future cost.
DarrenHall: Yes, from a unit cost perspective, absolutely; as Russ alluded to we've made good progress on our commercial space. So we'll start to see the benefits of those renegotiate of bulks and consumables work their way through the process as we run through inventory. So we'll start to see some lower unit costs from across the top line across the top mill process. Now we'll continue to be unrelenting and looking for opportunities to improve efficiencies as well. So on the consumption piece, we'll see some improvements. And of course, the result and all-in sustaining costs will be a function of grade. And that will vary period by period, depending on where you happen to be in the deposit, and visibly the discussion happening majority just a little bit ago. So there will be some variability in the place. But the guidance we provided mid August still maintains. And when we update the reserves and resources at year end, which will include a significant portion of the future as reserve will have those financials embedded within the technical reports. So that will basically supersede and replace the PEA.
Operator: Your next question comes from the line of Farooq Hamed of Raymond James.
FarooqHamed: Hi, there. Good morning, guys. So the question I have is I'm looking at -- or I'm listening to kind of the opportunities said some of the things you're going to be working on for the next year and it does sound interesting. But it doesn't strike me that it's all that capital intensive. So, Russell, my question is you've had a very strong free cash flow quarter, you've got $50 million in the bank, no debt, and you're going to have very strong operating cash flows at these gold prices. So the cash balance should continue to grow even with increased spending on exploration and even with some increased spending on development of some of these opportunities. So I'm wondering about your capital allocation. You talked about reinvestment in the business but what other opportunity sets do you see in front of you, as your cash balance continues to grow? 
RussellBall: Yes, Farooq. It's fortunate the position we're in I call it a bit of a Hollywood problem, I am not concerned with a lazy balance sheet where I accumulate cash. At this stage we haven't even entertained the thought or discussion at the board level around a dividend. Quite frankly as I look at the business, it's a growth story. And similar to tech, if you've got the opportunities for growth I think the stakeholders, shareholders we've spoken to are willing to entrust that capital to us to reinvest in the business. So the question will be how much we choose to reinvest next year. And that's really the discussion we're having as a senior team. Our pits are basically run at 1,400. And we don't have a lot of sensitivity, just given the high grade nature, we don't have these low grade halos, these big open pits, like in Nevada way waste turns into ore, we're pretty much binary. Our pits are at 1,400. But we think about the business at 1,800, from a cash flow perspective. And I firmly believe that that will be conservative in light of the myriad of economic, financial and other issues the world faces. And everyone has a view, ours is bullish, and we intend to invest accordingly. So we are debt free to your point, we are generating free cash flow; the balance sheet will take care of itself. And we'll look to be prudent stewards of capital. But I think what we will do is, is certainly from where we were a year ago, is looking at reinvesting back into the business on a number of fronts, we've got to develop Pavon, we got to acquire more land there similar story will happen at the Eastern Borosi. We were talking to Rio about what the budgets going to be for exploration on their ground, and then Mark on the GENEX side, which hasn't been funded, if you think about it realistically, for the last five plus years. So, yes, we have a number of opportunities that we think can add real value in a very short timeframe. And that's the unique opportunity that I see is we have this mill, it's paid for it's installed, we have the people the permits, we need to find feed. And so it's as we look at Nicaragua, essentially the whole country becomes a satellite pit for us. And so, yes, we will still generate significant free cash flow after investment in the plan right now, is it can sit on the balance sheet, and at some stage, we'll figure out what to do with it. But I can say that the board has entertaining discussions around a dividend. And I don't see that on the agenda, at least for the next year, as we look ahead, grow in the business, I have a personal goal in my long term objectives, which I've shared with some people internally and externally is 235,000 ounces out of Nicaragua in 2023. And I believe that's eminently doable with the assets in front of us. And that's really what we're focused on. And we have the, like I say, the fortunate position to your point, yes, the capital that we need to deploy won't go into processing facilities as such, but it will go into land acquisition. And then there's capital, obviously, to develop these deposits whether you call it deferred stripping or whatever. So, yes, I mean, it's an enviable position to be in. And I feel very blessed to be in the spot I am with a team we have that are -- they're all focused on one thing, and that's the long term opportunities in front of us. Yes, we need to consistently execute and deliver in the short term. And when we acquired the assets a year ago, there were a lot of people who looked at the older assets as tired. And in the case of Libertad approaching closure, actually a couple months ago, if you believe the street consensus at the time, so we've done a lot in a pretty short period a year went by pretty quickly. And I see the next year being just as busy with just as many value creation opportunities internally. So a long answer, but hopefully that addressed your question.
FarooqHamed: Yes -- no, it does. I think what I was driving at. I agree, it's definitely been gratifying to see how quickly the hub and spoke strategy has come together and translated into free cash flow. I guess part of what I was driving out more was what other Eastern Borosi-type opportunities do you see? Are there some that are not under your control right now that would fit within the radius of the hub and spoke strategy? Is that something, potentially, we could see with excess cash flows in terms of the reinvestment in the business?
RussellBall: No, as I look at it, we have more than we can deal with on our plate and the GENEX update you will hear about before the end of the month. We've got a good pipeline coming organically. So no, we're not thinking about deploying capital, externally in Nicaragua. Our focus is on what we have what we've acquired recently. And then what we've stake, we've staked a lot of ground under the GENEX program in the last three to four months, as we've combined all these data sets, got some new people in to help. And yes, you'll see an update on that and the near mine program, Angela, by the end of November, as I said earlier, so now we're not looking to deploy capital externally in Nicaragua.
FarooqHamed: Okay. Thanks. And then just finally, you had briefly talk about the potential of maybe tolling some artisanal with the excess capacity you have at Libertad? Is that still a consideration or do you have too much kind of sources of ore on your own now that you don't have to consider that?
RussellBall: No, absolutely, that's an opportunity for us, I put that thing in the opportunities bucket, and we are acquiring some artisanal ore from Pavon. We have some artisanal ores, we've been working with great relationship gives us an opportunity to run that through the Pavon. And to the earlier question I actually forgot to mention we are acquiring and have acquired artisanal ores from the Borosi. So from the Atlantic concessions, and again, that's twofold. One is let us understand the metallurgy and recoveries and those issues but just as importantly, it establishes a relationship with the artisanal, and so they are key stakeholders in the whole process they're entitled to 1% of the concession and B2 did a great job on that side and we've continued to evolve that relationship. So I look at that as an opportunity, if you look at next year will be under a million tons at Libertad. So I said earlier we're mining at Jabali Antenna, we spent ore stockpiles will be done so we have in excess of 1.21 - 1.3 million tons of processing capacity and that quite frankly I've said this before after our people that are the most valuable asset we have in the company. So anything we can do to fill that his value accretive and that's really the focus of Angela's program on the near mine at 80,000 meters and then the word Mark Cianci and Mark Peterson are doing on the GENEX side. So yes.
Operator: There are no further questions at this time. I will now hand the call back over to the team for closing remarks.
Russell Ball: Thanks, operator and everyone appreciate your time. We're around, Angela is here. I'm surprised no one had any questions for her. She must have nailed it. But Ryan and I here, Darren's always available, John on the financial side. Appreciate the support and continued interest and look forward to talking to you or most of you, at least in the New Year. Take care.
Operator: This concludes today's conference call. You may now disconnect.